Holger Arians: Okay. 8 AM Eastern Time. So, we're going to start our earnings call today. Hello, everyone. Thanks very much for joining today. My name is Holger Arians. I'm Co-Founder, CEO and Chairman at Banxa. I'm pleased to present the quarter three FY '24 unaudited financials to you today. And we are recording this session and will also distribute this presentation. The presentation does contain forward-looking statements. So, there's a disclaimer here that we are going to share with you as well. And you can read that in your own time. Presenting with me today, are Zafer Qureshi, our Executive Director and Head of Corporate Affairs; and our Chief Financial Officer, Patrick Maguire; and our Chief Product Officer, Tom Chalmers. If you have any questions, please put them into the chat box or the Q&A session -- section, and we're going to answer those at the end of the presentation. I just want to set the theme with, how we see the whole crypto ecosystem evolving. We firmly believe that in 10 years' time, every business in the world will benefit from the properties of crypto networks embedded in their products and services. And the way we see this is very much like the evolution of the Internet, where it certainly took some time for mainstream adoption. And while in the early days, people didn't really know why email is better than a letter, and it became very clear, and today, it's obvious that you sent an email to the other side of the world, and it arrives immediately, or you send an email to 1 million people with a click of a button. We are seeing a world where you can send value, money, or any sort of digital good or property, to anyone really in the world immediately with a click of the button or to 1 million or 10 million people. We believe that blockchains and crypto assets are going to do this for us, and this is a very, very big opportunity. Banxa has been building its platform in this space for the last 10 years. So, we're very, very much established, but we know that it's going to take much more time for these networks to really provide value to people. But we're seeing some really good use cases. And remittance, for example, is a great use case today where blockchains and digital assets, cryptocurrencies are already unlocking very, very big efficiencies. More to that later in our product update. I just want to start with a couple of the details in our -- in my opening remarks. Many of you will know that we've -- Zafer and I have taken the reins late last year in October. And from this time, the business has really moved from strength to strength. We see it every day, but now we're really excited to be able to share the first results of our work. As you know by now, we've achieved profitability in this latest quarter, FY '24. So, we're very, very proud of that. We've also uplifted the finance function and the team under leadership of our CFO, Patrick Maguire. And the team has already engaged with our auditors, PKF Antares. We've gone back and forth on everything that certainly went wrong in previous years. We've learned a lot. We've applied those learnings, and we're very well set up on both sides to finish the audit in time. And that is obviously has been a major concern, but we're very, very, well prepared this time and experienced. The business itself is much more stronger, with a very innovative product platform and a very -- much more diversified customer. And the business itself, after this turnaround journey that Zafer and I started, is much leaner and far more scalable than it ever was before. And that's super exciting, specifically with the market warming up as well for this new crypto cycle that we're seeing. I think what's very important is that the workforce is still extremely motivated, and we've certainly gone through two years of brutal crypto winter. But what has kept everyone going or, certainly, how we -- so much believe in this space and know these dynamics that this is a major, major, technological shift. It's a generational event, just like the Internet was before. And that takes time. There needs to be much more trust built up in the space. The user experience needs to become much better. But what's important is that Banxa is already playing in this space, and we're winning every day, and the team really is excited about everything we've achieved, how we've turned around the business, and everything that lays ahead of us. As a business, we continue focusing on the licenses that are required, and they become more important than ever with certainly much more scrutiny by the regulators. And we continue to expand our capabilities in our key markets as well. We were also able to significantly reduce the cost of capital. Zafer is going to speak a little bit more to that, but that was certainly a major lever for us as well. And now as a business with a much more solid financial foundation, we have much more opportunity to optimize different areas of the business. Internally, we continue to operate with focus, discipline, substance, and sustainability, and that has worked extremely well for us, because it's a very, very noisy space out there. But, again, the business is very aligned with the Board and management team. The team is very, very motivated, and we are very excited about what lies ahead. We've also achieved some major milestones, which we have previously communicated with the market. One is certainly the UK crypto license that we obtained earlier this year, which was a lot of work. And I think it was only 7% of businesses that have applied for this license have been granted this license. So, we're certainly pioneers here, and we know how to do the work to -- and work very closely with regulators to allow our users to transact in a safe and compliant way. We continue to work on the activation of the US licenses. Certainly, we are still seeing the US as a major market for us, and we are currently transacting with a third party. But we will activate our licenses this year. The European Union has also started a new licensing regime, which we will comply with by the end of the year. We still have a lot of time to do that, but we are getting everything ready to have that major license for all European states. So, that's also very exciting for us. And what I personally am very proud of is that, Kaushik Sthankiya, who's Global Head of Banking & Payments at one of the major digital asset exchanges out there, Kraken, has joined Banxa's Board. And that just shows me that we are getting the attention of the industry. People really believe in what we're building, and they're willing to help us opening doors. And I'd like to thank Kaushik for the confidence in us and for everything that you've already done for the Board, for Banxa. And we all know that there is much more to come. So, that was a really, really good addition to our Board. So overall, we continue to strengthen the business and see really the positive trend across all our KPIs. We believe that eventually the share price will follow as well. And obviously, we've seen the market finally warming up again, and believe that this is the start of another positive crypto cycle. And overall, we've seen just more crypto adoption. There is certainly more regulation. The ETFs have opened up the market to much broader audience. And we're seeing many builders just building really good use cases, which takes the complexity out of crypto, but certainly leverages that technology. And Banxa, again, as infrastructure provider, is a very important player in this space. So, overall, we really believe that the business is in a stronger position than it ever was, and we should be on the path to unlock our unicorn potential. If you go to the next slide, thank you, we are now, as an application, embedded in partners that combined are reaching over 1 billion global users. I think it's really important just to see the scale of adoption and who can today use Banxa. Banxa has really achieved coming -- getting into these mainstream applications, and more than 1 billion users today can find Banxa in their everyday applications like Telegram or Coinbase if they want to start their crypto journey. And everyone suddenly start with the money they have in the bank, that fiat currency. They want to convert that to cryptocurrency. They want to buy in-game assets. They want to buy an NFT through our partner platforms, and they can start that journey with Banxa. So, I think it's just important to see the work that we've done to get this far. We have 300 partners today, but they give us access to over 1 billion global users, and that's incredibly exciting. And we just continue to add those partners and get to these users so that they transact with us. And so, hopefully, our shareholders and investors see this opportunity as well and support us along the way. With that, I'd like to hand over now to Zafer for a few business highlights.
Zafer Qureshi: Thanks, Holger. So, just to kind of get into all the progress that we've made, not just over the past several months, but over the years, which I think the market is definitely underappreciating, the underlying business that we have here at Banxa. Over US$2.4 billion of crypto sold in our lifetime. Over 1.4 million customers, unique customers that we've served, and over 5 million orders completed. And currently, we're processing one new order every 20 seconds. We're connected and embedded in to all the major partners out there. That gives us that 1 billion reach of users out there that Holger touched on, and it really take years to build up. We've been at that journey for several years. Now as more and more regulatory regimes start to provide that framework, our licenses are going to become ever more critical and important within this space. So, it's super exciting of everything that we've achieved. And we're really well positioned to capitalize on this as we move into more utility-driven use cases. So, just going back to our internal business operations, especially over the last six to nine months, we've been very focused on getting the business into a very strong position to be able to scale, to be able to operate very efficiently. But this journey has been underway over the last couple of years, but really put into high gear over the last six to nine months once Holger and I kind of took the reins. And you see that in our results. Back in 2021 or fiscal '22, we processed over 1.4 billion in crypto volume, but very low efficiency, which is why we were still not very -- we weren't profitable at all. And then, the bear market showed up, volumes declined. You see that in our gross profit and the impact in adjusted EBITDA. But our ability to process transactions continue -- the efficiency that we were processing the transactions with, continued to improve. And it's really come to, I think, a very pivotable point now in fiscal '24 with our net take rates hovering around 3%. And we see a lot more of our volume and our commission that we're collecting off of that start to really trickle down to the bottom-line, which is super important. And with our cost base now very much well established, and we see that very much being flat moving forward. We see us really well positioned to scale and do that in a very profitable manner. So, super exciting for where the business is at and a lot of good things to come. So, just to kind of showcase, again, our global footprint that we have and where the markets that we've been kind of talking about over the last couple of quarters, that we're really focused on in the US and Europe, but we do have reach across the globe. And you really see that in the diversity of our volumes. US, obviously, being one of our key markets, which is why we've been very much focused on that over the last few years in making sure that we've got the footprint from a licensing, from a local entity, the local banking relationships, all that infrastructure that we you need to lay out, because it's such a critical market for us. And we've really focused on our two key markets, which are the US and Europe, over the last six to nine months. And you see that growth happen in our volumes, especially within the very key segment of the wallet space where we see the market really exploding in the next couple of years. So, with all that, the business has continued to execute really well. We continue to add new partners every month, every quarter, with the most recently Telegram Wallet that we signed and activated, UniSwap, Argent, BitPay, all these have massive user bases, especially Telegram Wallet, almost over 1 billion, with Telegram as a whole. But we really see more of them moving into the wallet part of the business and us being able to tap into that. And that's super exciting. On the licenses front, as Holger, mentioned, we're keenly focused on looking to go live and operate standalone in the US, with our MTLs. And that's really going to enable us to do a lot more with our partners on the product front and critically on expanding on margins in the US. And then, new product features continue to roll out, that's what we're super focused on is our product and what our partners are really looking from us. And it's all about, at the end of the day, making it seamless, making it moving more and more closer to a pure white label solution and providing really the control over to our partners from end to end, so that they can really own the users and control the entire crypto journey on their platform. And that's super exciting for us, and we hear that day in, day out from our partners, that's the big area that they really want our infrastructure to be heading towards. So, with that, I'll pass it off to Patrick to kind of now start to dive into our financials for the March quarter.
Patrick Maguire: Thank you, Holger and Zafer. As said, another great quarter for the business. And, as Holger mentioned, a great progress being made by the finance team. So, the team has been through two full audits in a year-and-a-half. And that team is held together and about to go into the third audit, that we'll be doing in the last two years. We've got a lot of plans already in place. We've beefed up team where we need to do that, and we're expecting a very timely and efficient audit for FY '24. So, let me get into the financials. As Holger -- sorry, as Zafer mentioned, it's been a great quarter for us. We're leveraging on our licensing and partner network, and we're showing the scalability of this business, as TTV grows through product innovation, organic growth, and the addition of new partners such as Trust Wallet this quarter. The TTV is up by 61% this quarter. Our GP has grown by 56% this quarter. And what's really important is that we've been able to maintain or -- and grow our net take rate across this growth in the business as well and show the scalability of that flowing through into profit. I'd like to highlight on our OpEx expenses that, in 2023, the $4.4 million included a $2.1 million reversal related to share-based compensation. And when we adjust that, it's about a 20% increase year-on-year. So again, demonstrating the scalability of the business, as the business grows. Okay. So, we'll move on to the next slide, please. Okay. The last two quarters have been very impacted by the Christmas holidays and the Easter holidays. So, the way the business works in our cash conversion cycle, we have T plus 2 days settlement with our credit cards such as Worldpay. And as we go into those long four-day weekends, which the last two quarters experienced, that puts a lot of the cash in the trade and other receivable part of our cash conversion cycle. The good news is, that we should not have as many quarters like that going forward. And all of that money was received in April, with the majority of that being received in the first week after the March quarter. Okay. Just go into the next slide, please. What we really want to highlight about our FX losses is that, we have experienced FX losses this quarter of about $600,000. The key piece here is that the business has actually sees this as a potential area to reduce the FX fees, and we put into place tools effectively to help monitor the most efficient pricing routings, as we do transactions going forward. So, this is an area we see a lot of potential going forward in terms of eliminating this FX. And finally, we'll just talk about our guidance. So, driven by a strong third quarter as well as improvement in the crypto markets and growth in the partner base and the addition of new partners, we've also been able to manage and scale our business without increasing the cost base. So, we feel comfortable enough to be able to increase our guidance for the balance of year. So, we'll be bringing our guidance up to the $27.8 million to $28.8 million on the gross profit. And we see our adjusted EBITDA landing somewhere between $0.1 million loss to $0.9 million. Okay. So, I'd like to thank you again for the support this quarter, and I'd like to pass on to Tom, our Chief Product Officer.
Tom Chalmers: Thank you, Patrick, and thank you, everyone, for joining today. So, we've got some super exciting stuff to share with you. If we come to the next slide, just wanted to reiterate something that we've talked a lot about today, but our observation of market forces 18 months ago made it very, very clear there was a structural shift underway in crypto and it really pointed to the rise of what we call on-chain activity. And this particular space is being one that had a very high fit for Banxa, and that was going to be very enduring for us over the long term. The most obvious descriptor of that is Web3 wallets and their role intermediating. And so, what we did is we made a concerted effort at the time to target this market, and we innovated our product to better address their needs and better fit ourselves to what they were after. So, we are very, very happy with our success over the last few year. We're growing through all the market conditions, the ups and downs. And, again, we continue to grow, and we've got the largest pipeline we've ever had, and a lot to come in the coming months. And we really think this is just the tip of the iceberg in this particular space. So, if we jump to the next slide, what we're broadly seeing here are sort of three categories of what we call tailwinds for this on-chain activity. And the first set here is the application space. This is where the user demand ultimately comes from, and this is the why of someone wanting to use a Web3 wallet and therefore use Banxa. But what we've seen over the last year in particular is that these wallets can provide access to much more flexible and powerful trading opportunities, and that's certainly where we're seeing a lot of our end users today. But there's -- again, there's more things coming, and what we're observing right now is the rise of prediction markets, which again follow the rise of that same market in the non-cryptosystem. But there's some really incredible products coming online. We also see a new generation of social media applications getting built and rolled out today and actually heavily used. And these are built on interoperable protocols where the network itself can no longer hold the user hostage, which we know there's a lot of sort of latent demand for. And then finally, later down the track is the rise of crypto gaming, which will allow video gamers to be better rewarded for their value creation than they are today. So, that's on the application front. Again, that's really just the most immediate consumer drivers we see happening today, but there's certainly a lot more to come. Compounding this tailwind is usability. And we won't go too deep into it today, but there's some really strong profound things happening on this front. The one of them is the rise of passkeys, which I'm sure many of you may have already seen or interacted with. So, this is what Apple and Google have now made the default way of signing in and creating accounts. This is powerful, because this completely kills the narrative that self-custody is hard to use. It it's simply no longer true. And in fact, in many ways, it's actually easier to use a lot of these Web3 wallets than it is to use custodian services. So, it's that one of the main sort of holdouts of consumer adoption to the Web3 wallet space is now no longer a holdout, so that's quite exciting. We also see the rise of account abstraction, which fundamentally makes way to avoid the risk of losing your keys without handing them over to a custodian. So that's another unlock. And then finally, the rise of what we call session keys. What these are going to enable users to do is have subscription-like services where they haven't before. So, previously, users had to sign every transaction, but with session keys now, they can make one approval upfront and have things handed for them behind the scenes. So, we see this is very similar to the rise of credit cards and the way that they enabled new sort of payment experiences like subscription services. So, we're sort of really hitting parity very, very quickly here. On the technology front, which keeps humming along, I mean, there are a few things happening here. The first is the rise of stablecoins. And what we see them doing is making crypto far less threatening to mainstream users. You get all the benefits of crypto tokens and technologies with instant settlement and atomic transactions, et cetera, but you don't have to take a guess on the particular token or learn a lot about something that you haven't fully understood. So, US dollar feels very safe, and we're seeing global geo stablecoins rise too. Second thing we're seeing here is, again, a continued innovation on the blockchain front to reduce network costs. This one is a really, really big unlock. So, once those costs on average come down far enough, it opens the application space to all sorts of different markets and use cases beyond just trading in DeFi. So, that's really exciting to see happen along. And then thirdly, most profoundly, what we continue to see again and again is what we're calling the service commoditization. And what that means is all the layers of the crypto stack that wallet providers and applications have all had to independently build historically, then they're all now becoming available as white label services. So, as-a-service, wallets-as-a-service, RPC-as-a-service. And we we've seen this play out historically in other technology sectors, and we'll speak to it in a second, but we really see over the long term this being one of the most profound changes, which we fully intend to play into and make use of. So, if we jump to the next slide, just want to talk about how we see this all coming together over the coming years. So, ultimately, as Holger mentioned, our long-term vision has always been and remain to be the world's best crypto platform for businesses. And the way we see ourselves getting there is, the first step is to continue to grow with this Web2 wallet market where we've had so much success today. So, we've analyzed the addressable market space to be well over $1 billion per month in US volume. We're already working with many of the major top-tier wallets. What we're also seeing happen is most of our major exchange partners themselves launching Web3 wallets. We've certainly got the largest pipeline we've ever had and some very exciting announcements to hand out in the coming months. And then crucially, we also see a new generation of wallets coming online very quickly, making use of some of those usability enhancements that have happened recently. And so, we're certainly right there ready and waiting for them, and we'll continue to aggressively chase this market and expand through this market. So, that's step number one. And, again, that's well over 10x addressable market space just there in front of us, and we fully intend to go after that. Where we see it going next is the continued rise of these next-generation Internet applications, so these prediction markets, these social networks, gaming, and other providers. What we're hearing from them and what we think will play out in a very, very big way in the coming 18 months is they're increasingly demanding much more embedded solutions. So, what they're after is owning the user experience themselves and looking much more like a Web2 application. So, they're chasing this wallet-as-a-service market. We're already working with the [triple A] (ph) providers of these services, many of which are our existing wallet partners. And so, we're very excited to continue to tailor our product to work with them because we really see that as a significant next horizon. And some of the real applications and the prototype applications we've seen out there in the wild, they're looking like nothing you would believe crypto looked like two years ago. We're really at a point now where we've got some really high-quality solutions just around the corner, and we think they're going to herald in a profound change to general Internet applications. Now, ultimately, in that 2027 column, where we see this going long term is all of these services continuing to get commoditized, and everything to do with making crypto application becoming some sort of white-labeled service. And so, what we see happening there is in the midterm, most new Internet-native services will want to incorporate some sort of crypto capability into their platform. And it's largely going to be driven by making better transaction experiences than they can do today. So think people getting paid by the second in the workplace or content creators having all sorts of more complex payout structures. There's a range of ways we see that playing out. But we do know that vast, vast majority of companies aren't going to want to do any of the crypto themselves. They're going to be looking for a full stack to integrate into the same way that the vast, vast majority of Internet companies don't run their own cloud servers. It's simply something that's done. It's done well. It's a component of what they need to do, but there's no competitive advantage to actually building that technology themselves. So, again, our long-term plan remains to be the crypto platform of choice, and we've got some very, very clear stepping stones to get there. Now, if we jump to the next slide to how we're sort of imagining this sort of market, what we know today is that in 2022, there was $1.2 trillion of fiat crypto flows. So that's well over a 100x what we see. So, there's certainly huge headroom just today in capturing these target markets much more thoroughly. The way we see it playing out and the market we see is most analogous to how much -- how big could the flow size get is actually the FX market. So, FX volume in 2022 was $2,738 trillion. It's a hard number to even say, which sounds absurd and sounds crazy. But the way we're looking at it is that on an immediate level, crypto can do a lot of that economic utility that FX can do securely and safely. But on a more deeper and profound level, what we see crypto systems doing as they become much more normalized through our Internet services is fundamentally financializing them in ways that haven't been financialized before. So, it's a value exchanges that were previously unquantified and unpriced are going to be priced. They're going to be turned into transactions behind the scenes and executed. So, simple a simple example of this is, say, a user on a social network, now actually being programmatically rewarded for the interactions, the replies, the follows, the likes they do because they do contribute to the algorithm, and they do contribute to the network growth. So, again, obviously, we don't expect the sort of margins we see today at the volumes this size, there's going to be some trade off relationship between significantly order of magnitudes to larger transaction volumes and how they'll get priced. But Banxa is in a fantastic position with all the technology, the lead time, and all the right relationships and reach into the network of players to be able to execute on this, and we're excited to make it happen.
Zafer Qureshi: Awesome. Thank you, Tom. Super exciting, the future that we've got ahead of us. And I think we're really well positioned to go after that. So, I'm just going to talk a little bit about, I guess, how are we really creating value for shareholders and the focus on our share price. We're very much focused on establishing a strong and sustainable business, and that's what's going to help us to leapfrog to the future that Tom just alluded to, to be able to be successfully get there. What we've done and what we're continuing to do is maintain a very disciplined approach and focus on our cost base. We've been working on that over the past several months to ensure we've got the appropriate systems in place, like the purchase order approval system, and just general culture change to be more cost conscious. And that really comes down to also creating a greater accountability within the organization and creating much more greater visibility into our key projects that are underway and having the business cases underlying them. Just overall, very key focus on what are the areas of the business that will help to overall take the business forward. And that really comes down to being very acutely focused on our key partners and deepening the relationship with them. And the wallet segment is that key focus area for us. And we're super excited about the growth there. Lastly, just overall, one of the things that has been challenging historically for us is just our high cost of capital. And over the last couple of quarters, we've really made good progress on bringing that down, from 25% to 30%, that we had in previous quarters for our trading lines. We're very confident of bringing that closer to 10% and actually setting up a structure that's more like a revolving facility so that we don't have to continue to carry that overhead of fully drawn down loans. So that the funding for our trade -- transaction settlements moves with our volumes. And we only incur those costs when our volumes are going up, and it dissipates when the volatility comes down or volumes come down. So that's super important for us as we look to scale moving forward. So, just generally, I guess, as we've kind of discussed, Banxa's underlying business is very, very strong. And a lot of the things that we've done take a lot of heavy capital investment and take several years to build out. But that's just not being appreciated right now by the market. And there's a very major deep discount in our view compared to the broader market and our peers, and you see that in the multiples. But we're very confident that with continued growth in the business, continued strengthening of our business, we're -- naturally there's a key -- or very high probability that we see a rerate relatively soon. And we're just going to be continuing to focus on expanding the business and strengthening it. And we're very confident the share price will follow. And just generally, I think the key to that also is getting our story out there. We've been focused on that over the last couple of months, getting us back on the radar of investors. And we're doing that by generating a lot of that organic sell-side research coverage, having several conversations with multiple analysts that are excited about our story, and actively engaging with buy-side investors. So, investment advisers out there, family offices, high net worth individuals who are keen on the crypto space, and are looking for that high leverage play, which Banxa's story really delivers. And we've engaged a market maker to help with our liquidity in in our stock price on the TSX. And continue to increase the profile of Banxa recently with the addition of Kaushik from Kraken to help elevate our Board profile and strengthen the Board overall and the governance, and just communicate better and with substance to the market, with generally more color and much more transparency in our progress and all the great things that we're doing, and continue to do that very frequently. And then, some of the other things that we've been working on is activating a new employee share purchase plan. As Holger mentioned, the entire workforce is super excited about our future and are keen to be able to access and get the shares of Banxa. And with that, we'll be able to enable them to be able to buy shares on the market, and also create that long-term alignment as -- and create that ownership mindset more long term. So, the business continues to perform well. The fundamentals are strong and we're trending positively. And the stock prices is, in our view, clearly not representing or reflecting that underlying strength, but, again, we remain very confident that it will catch up as more and more investors become aware of our story, because we've generally fallen off the radar over the last year or so. But as we get back in front of them, we're very confident that they'll start to take part in our story and the share price will start to move positively. So, with that, we'll open it up to questions, and I'll let Holger kick that off.
A - Holger Arians: Thank you, Zafer, Tom, and Patrick. Thanks to everyone to staying on. Please add any other questions that are not already here. I'll start with reading out [Shahab's] (ph) question. There are a couple. We go one by one. Mr. Arians, as CEO of Banxa, we've seen a number of good clients added as well as better earnings, but we have also seen two audits in a row as well as the stock price at close to the yearly low with barely any volume or institutional retail buying. The stock is basically dead, and it seems like there is a lack of concern or effort concerning this issue. What do you plan on doing to bring value to shareholders? And is Banxa currently working with the auditors, so we don't have a repeat of another audit? I feel like this is a repeat of the same questions that many of us ask every quarter, yet there's been no progress with the stock. What will be done differently this time? Shahab, thanks very much for this first question. We've commented a little bit on the audit already. We've certainly learned a lot. And the first audit came at a very bad time with major collapses of crypto companies back in 2022, which somehow has affected Banxa as well and our credibility. And as a result, the auditors were just extra careful and so were their regulators. So, there was certainly much more scrutiny. But at the same time, Banxa also had to improve many of our systems and also adjust the team. We weren't just not able to get to the standard that was required. But we've certainly improved very, very much. And then, there were no major issues, and we have finalized that first audit. Obviously, it was a massive delay and we all recognize that, acknowledge it, and apologize for that to all shareholders. The second audit right after that, FY '23, we basically went from that first audit into the second audit, and we changed auditors. So, there was a big learning curve for everyone. We've also had a new CFO join only in October last year. Since then, we have completed that audit, but because we all had to sort of find a way together, that was also delayed. Unfortunately, we were able to get that done in time before a trading halt for all shareholders. This time around, we have the same auditors that we have completed the first -- the previous audit with. We have a really strong finance team under Patrick's leadership. We have ramped up the auditors team with all the learnings and lessons we had. And also, our internal team, we've actually added specialist accountants, and we are very, very well prepared and have already engaged with the auditor, have come up with a schedule, have sufficient time, and we don't believe there are major issues this time around. So, I'm very confident that we got on top of this matter. That's about the audit. The next part is the share price and why that is not really moving. And Zafer has addressed that in his last slide, was many things we're already doing. I just want to add a few things. When we started out late last year, Zafer and I, we said we believe less is more, because we've communicated a lot and it hasn't really done any difference. We were all about substance, and we just wanted to fix a foundation, get this -- the processes and systems right in the business so we can deal with an audit so that we can communicate -- achieve and communicate proper results, which we have now done. And I believe that we are now at that next level where we can enter this new chapter. We are going to ramp up Investor Relations and PR again now that we have done all this groundwork and have this solid foundation. And also, we've been buying on market. The management team has buying on market when we were allowed to, because we believe in this business, and we believe that we're very, very much undervalued compared to our private peers anyways that have less licenses, less payments, less users, but hundreds of millions of valuations. So, very confident that we're going to catch up eventually. I'm going to go to the second question. Are you seeing any serious buyout inquiries? There is interest for what we're doing at Banxa, especially now with more scrutiny by the regulators for this space, which is good because the space needs more trust. And Banxa has certainly built this moat with licenses, and the technology and our partners and our customers. So, there is continued interest for what we're doing at Banxa. Nothing at a decision date yet. But, certainly, we see, also in this market, more activity on the M&A front and more interest for Banxa. And we will bring that to shareholders at the appropriate time if there's anything worth communicating. And then, the last question, Zafer, it's more for you, perhaps to answer yourself. What's your role within the business? You were initially Head of Investor Relations, but from the press releases, it looks like you have a different role. Perhaps, you can answer to that best, Zafer.
Zafer Qureshi: Sure, yeah. So, when I came, I guess, on board initially as a Board member, and generally leading up a lot of the IR aspects and just general corporate items, so, like, funding and things like that, but more broadly, I think it's really just about within partnership with what we're setting up the business for success and kind of focused on all the key areas that will help us to get there. And that's what we're really just -- what my role, in combination with Holger, what is really about.
Holger Arians: Thank you, Zafer. Next question from Shahab is, what new streams of revenue are you looking at implementing in the future? Has there been any progress on the Web2 adoption of crypto, maybe virtual debit card? So, we -- as Tom has referred to earlier, we are working very much on the platform model where we have embedded solution for merchants, businesses that are looking more of a white-labeled solution to have a much better and seamless user experience, which is also going to reduce the prices for their users. That's obviously a volume game for us. So, we're very much working on that, which we believe is going to play out over the next few years, but we are already having those first serious conversations with those partners that want to embed bank so much deeper into their platforms. And then, we're obviously looking at other segments. Gaming is a very attractive space that we look at. It's growing. And there are many other areas, like social networks where crypto and blockchains are getting traction. And again, Banxa is very agnostic on what it does. Every user starts their journey with fiat. We are just providing this bridge into the space and out of the space again because we believe both worlds are coexisting. And you do need that infrastructure that we've established over the last 10 years, so that the industry can build on top of that. So that's what we see for additional revenue streams while the existing model obviously will continue to gain traction. [Christian] (ph) is asking, do you see the NTLs coming into play in the near future? If so, what's the timeline you expect? Christian, absolutely, we are intending to make those NTLs live by the end of the year. There's still a lot of work involved, but we are working our way in the background. We're still waiting for a few more, but I think we're already able to serve more than 45 states ourselves. So, the answer is definitely yes, before the end of this year. Are there any other questions from the audience? Okay. I think we can then close here. And just as a reminder, you can always reach out to Zafer or myself if you have any questions in the meantime. We're very happy to connect over call or email. Thank you very, very much for your support and for believing in Banxa. Thank you for your time today. And, yeah, we're very excited about the future, and, hopefully, we've shown that we are on the right track. Thank you to Banxa's team as well. Zafer, anything else you wanted to add?
Zafer Qureshi: No. I think, this is just another quarter and another step in the right direction. It's really about enabling and positioning the business to realize what we all see internally as a potential to be a multibillion-dollar business, because what we've built -- as more and more people start to move into the crypto space, businesses start to build out utility-driven applications and products, Banxa's infrastructure helps to enable all of that. And that's what we're really keenly focused on to help to us to realize that future. And I'm very confident that everything that we're doing will start to reflect in the share price as well. And we've got lots of good news and great work that we're working and very keen to announce in the near future to showcase further progress. So, super excited, and really appreciate our shareholder support and the great work by the team.
Holger Arians: Awesome. Thank you, Zafer. Thank you, Tom and Patrick, and thank you for everyone dialing in. That's it for day, today. Thank you. Goodbye, everyone.